Operator: Good afternoon. Thank you for attending the Traeger, Inc. fourth quarter and full year 2024 earnings conference call. My name is Cameron, and I will be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. If you would like to ask a question, please follow the instructions provided. I would now like to pass the conference over to your host, Nick Bacchus, Vice President of Investor Relations with Traeger, Inc.
Nick Bacchus: Good afternoon, everyone. Thank you for joining Traeger, Inc.'s call to discuss its fourth quarter 2024 results, which were released this afternoon and can be found on our website at investors.traeger.com. I am Nick Bacchus, Vice President of Investor Relations at Traeger, Inc. With me on the call today are Jeremy Andrus, our Chief Executive Officer, and Dom Blosil, our Chief Financial Officer. Before we get started, I want to remind everyone that management's remarks on this call may contain forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and views of future events, including, but not limited to, outlook as to our anticipated first quarter 2025 and full year 2025 results. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied herein. I encourage you to review our annual report on Form 10-K for the year ended December 31, 2024, once filed and our other filings for a discussion of these factors and uncertainties, which are available on the Investor Relations portion of our website. You should not take undue reliance on these forward-looking statements, which we speak to only as of today. We undertake no obligation to update or revise them for any new information. This call also contains certain non-GAAP financial measures, including adjusted EBITDA, adjusted net income or loss, adjusted net income or loss per share, adjusted EBITDA margin and net debt, which we believe are useful supplemental measures. The most comparable GAAP financial measures, and reconciliation of the non-GAAP measures contained herein to such GAAP measures are included in our earnings release and investor presentation, which are available on the Investor Relations portions of our website at investors.traeger.com. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. Now, I would like to turn the call over to Jeremy Andrus, Chief Executive Officer of Traeger, Inc. Jeremy?
Jeremy Andrus: Thanks, Nick, and good afternoon, everyone. I will start today's call with an overview of our fourth quarter and a recap of 2024, and then we will discuss our outlook for 2025 before turning the call over to Dom. I am pleased with our solid finish to the year in the fourth quarter. From a revenue perspective, we delivered 3% growth in the quarter with particular strength in our Grills business, which was up 30% as compared to the fourth quarter of last year, and our consumables business, which was up 25% compared to last year. We continue to see strong margin gains in the quarter with gross margin up 410 basis points compared to the prior year. This resulted in fourth quarter adjusted EBITDA of $18 million, up 41% from the fourth quarter of 2023, putting us above the high end of our adjusted EBITDA guidance for the year. Our fourth quarter capped off a solid year for our company. Despite ongoing challenges in the macroeconomic backdrop, results for the year ended significantly better than we initially guided to. Importantly, we saw an inflection in our grill business in 2024 with grill revenues up 8% for the year, substantially better than our outlook coming into the year. This was driven by strong consumer reception, and our strategy to lean into promotions and peak selling periods contributed to market share gains. Notably, we were able to employ this strategy and drive sell-through while meaningfully growing our gross margin. Our initiatives to drive efficiencies in our supply chain and to improve our margin structure, in addition to lower transportation costs, drove a 540 basis point improvement in our gross margin for the year. This resulted in adjusted EBITDA growth of 34% in fiscal 2024. During the year, we also made significant progress on key strategic initiatives and our long-term growth pillars. This includes driving our brand awareness, which continues to grow. With our household penetration of just 3.6%, growing our market share is our largest long-term opportunity. In 2024, we made progress in this area as we gained share in our Grills business. During the fourth quarter, the energy around the Traeger, Inc. brand continued to build. We leaned into social media, brand ambassador, and influencer content, which remain key platforms for us to engage our audience. Our brand activation strategy in the fourth quarter centered around holiday-themed content, including a video featuring barbecue influencer Matt Pittman on the perfect holiday prime rib cooked on the Traeger, Inc., and, of course, content on smoking a Traeger, Inc. for Thanksgiving. Traeger, Inc. leads the outdoor cooking industry in follower count across social channels, and our audience continues to expand. This is particularly true for YouTube, where our recent launch of Traeger Kitchen, our weekly cooking series featuring chefs and pitmasters cooking on the Traeger, Inc., drove more than 50% subscriber growth in the fourth quarter. We also leaned into strategic partnerships in the culinary space as a brand activation strategy. This includes a collaboration with Made In for a limited release enameled cast iron brazer in this fourth quarter. We also partnered with Bulleit Frontier Whiskey for a holiday collaboration, including a two-part video series that paired chefs and bartenders to craft the perfect holiday menu featuring food cooked on the Traeger, Inc., as well as flavorful cocktails using Bulleit whiskey. Aligning ourselves with on-trend brands like Made In and Bulleit is a cost-effective way to increase awareness of Traeger, Inc. with new audiences to drive buzz around the brand. From an innovation perspective, we officially launched our new Woodridge series of wood pellet grills shortly after the end of the year. On January 16th, it began to ship product to our retailers in the fourth quarter. The Woodridge series of grills feature some of our latest technological innovations and offers enhanced features at approachable price points. Enhancements include an easy-clean grease and ash keg, which collects drippings and pellet ash, more cooking space, and our free-flow firepot, which creates more airflow beneath the pellets, generating more smoke for a deeper, richer flavor. The development and launch of the Woodridge series was a cross-functional effort across many parts of the Traeger, Inc. organization. I believe that this was the best launch in our history. From product development to manufacturing to our go-to-market strategy, every step of the Woodridge launch was executed at a high level. One area of note is product testing. We conducted more testing for the Woodridge than we ever have for any product launch and logged over 10,000 hours of cooking before the launch to ensure the highest quality experience for users. From a brand engagement perspective, the launch garnered significant attention and brought a ton of energy to Traeger, Inc., generating more than 1.2 billion impressions and record-breaking engagement across social channels. We also engaged and invested in retail training to support our retail partners like Ace Hardware and Home Depot. We have invested in on-site regional training focused on the new Woodridge series as well as other key selling techniques to educate store associates. The more they know about Traeger, Inc. and the Woodridge line, the more they will sell. Early reads on sell-through for Woodridge have been strong, and we are encouraged by the consumer reception thus far. In the fourth quarter, Grills revenues increased by 30% to the prior year as we benefited from the initial loading of Woodridge and improved sell-through at retail. Grill performance was better than expected, and underlying sell-through of Grills was positive in the quarter. We saw particular strength during our holiday promotional period. In fact, Black Friday 2024 was one of the biggest sell-through days in our history. As we have noted on prior calls, we are seeing outperformance in our lower price point grills. We believe this confirms that there is a significant demand for Traeger, Inc. product at approachable price points. In 2025, we will be focused on boots-on-the-ground sales activation efforts to drive consumer education and conversion at retail. A great example of this is our roadshow program at Costco. Traeger, Inc.'s roadshow program brings our Wood Fired Grills directly to Costco members. Traeger, Inc. brand ambassadors set up product demonstrations in Costco warehouses to educate and sell grills to members on a consignment basis around the country. Our brand ambassadors are well-trained advocates of Traeger, Inc. and engage with a high number of Costco members on a daily basis, significantly driving brand awareness in the area. This program was an early growth driver of the Traeger, Inc. brand, and we are planning to more than double the number of roadshows we do in 2025. Moving on to consumables. We had some exciting developments in our consumables business in the fourth quarter, and growth was strong, up 25%. This growth was driven by increased replenishment as both our core flavors of pellets and seasonal offering turkey blend pellets saw healthy sell-through during the quarter. Additionally, in the fourth quarter, we launched new distribution of pellets and rubs into select stores at Walmart, a new retail partner for Traeger, Inc. For the last several years, we have been focused on increasing distribution of Traeger, Inc. pellets and food consumables into the grocery channel. We believe that Traeger, Inc. consumers want to be able to purchase their pellets not only where they bought their grill but also at the grocery store where they shop on a weekly basis. Walmart, therefore, is an incredible partner to meet this need for our consumers. We began loading pellets and rubs into Walmart in December and are excited to offer a new channel for our consumers to purchase Traeger, Inc. consumables. Critically, our consumer research indicates that the Walmart shopper has little overlap with their existing distribution channels with respect to their pellet purchases, and therefore, we think this is an incremental market share opportunity. Let's turn to our accessories business. Our accessories revenue in the fourth quarter was pressured by a decline at Meater. Last quarter, we discussed Meater's underperformance and our expectations for sequential improvement in the fourth quarter, which is Meater's most important quarter. While we did see some level of improvement in the rate of decline as compared to the third quarter, fourth quarter results were lower than expected. We believe there are several drivers of the underperformance at Meater. As we spoke to on our last call, after having made a decision to pull back on marketing spend at Meater earlier in 2024, we reaccelerated marketing spend in the fourth quarter. Ultimately, we did not experience the lift in demand we were expecting from the incremental marketing spend in Q4, and return on advertising spend was lower than expected. We believe that the reduced efficiency of our demand creation was driven by heightened competition in the meat probe space as well as higher costs in the fourth quarter related to the election. We also believe that growth in the meat thermometer category slowed in 2024 after seeing several years of strong gains, contributing to a tougher demand backdrop for Meater. We have strategic plans in place to improve Meater. This includes optimizing the balance of demand creation spend and ROAS, changing leadership of several key functions at the organization, and reconfiguring our long-term product roadmap. Furthermore, we continue to view retail distribution as a large opportunity for Meater and have put resources behind our efforts to expand this channel. Notably, we recently launched distribution at select Walmart stores and expect to see additional distribution wins going forward. While we expect these strategic changes to drive improvement in Meater's performance, in 2025, we are planning for continued softness during this year, as we believe the benefits from these efforts will take time to bear fruit. We do, however, continue to feel confident in Meater's brand positioning as a leader in the wireless meat thermometer category. In terms of our fiscal 2025 outlook, Dom will provide more details, but let me give some high-level thoughts. For the year, we are guiding to revenues of $595 to $615 million, or approximately down 2% to up 2%, and adjusted EBITDA of $75 to $85 million. Our top-line outlook anticipates growth in our Grills and consumables categories, offset by a decline in our accessories category, driven by an expected decline in Meater. With respect to tariffs, our current guidance does not build in the impact nor offsetting mitigation of recently enacted tariffs or any future tariffs. This is because trade policy is a highly dynamic topic, and there is significant uncertainty around how exactly policy evolves and how tariffs will impact our industry and the US consumer more broadly. With approximately 50% of our sales driven by goods imported to the US from China, our organization has been analyzing news on trade policy and has been working aggressively on strategies to offset the potential impact of tariffs for some time. Our ongoing mitigation strategies include supply chain efficiencies and savings, negotiations with our contract manufacturers, and potential price increases. We are taking a proactive approach to mitigating tariffs, and our strategies will continue to evolve as there is more clarity in this fast-changing environment. It's important to note that nearly all of our consumables are manufactured in the United States, and the majority of our accessories are not sourced from China. Also, I want to emphasize that we have an extremely experienced and talented set of teams across supply chain, finance, and other functions, as well as great relationships with our vendors and retail partners, which will be strong advantages in this uncertain environment. Overall, despite an uncertain macro backdrop, my confidence in Traeger, Inc. has never been higher. Indicators of our brand health remain very strong. We gained share in 2024, and consumer demand for our grills exceeded our expectations. We continue to have an industry-leading NPS score with a highly evangelical base of consumers. Moreover, the investments we have made into our product development engine position us for continued innovation in the years to come. We have driven efficiencies across our cost and margin structure, and we are well-positioned for a strong flow-through when industry demand becomes more robust. I would like to thank everyone on the Traeger, Inc. team for their hard work and contributions to the business. Lastly, as announced in our press release, Dom Blosil has decided to transition out of his role as CFO. Dom has been an incredible partner over the last eleven years, and I want to thank him for his many contributions. He will remain CFO through our first quarter 10-Q filing, after which Joey Hord, our current SVP of Finance and Strategy, will step into the role as part of a planned succession. We are excited to welcome Joey to the executive team. With that said, I will turn it over to Dom. Dom?
Dom Blosil: Thank you, Jeremy. I look forward to supporting a smooth transition. It has been a privilege to work alongside you and the incredible Traeger, Inc. team over the last eleven years. I am extremely proud of all we have accomplished together. Traeger, Inc. is a special brand with an exciting future ahead. Moving to our financial results for 2024, I am pleased with both our fourth quarter results and how Traeger, Inc. performed throughout 2024. We exceeded our adjusted EBITDA guidance for the year despite persistent Meater challenges. In addition, our efforts over the past three years to improve profitability and strengthen the balance sheet have resulted in significant gross margin expansion, strong EBITDA growth, and sequentially lower balance sheet leverage as compared to 2023. I believe these efforts position the company to capitalize on an eventual industry recovery and unlock capacity to invest in initiatives that will catalyze future growth. For fiscal year 2024, gross margin expanded by 540 basis points, and adjusted EBITDA grew by 34% and ended 23% above the midpoint of our original guidance. Shifting to our fourth quarter results, fourth quarter revenues grew 3% to $169 million. Grill revenues were $78 million, up 30% year over year, driven by strong sell-through during the holiday promotional period, improved replenishment sales, and load-in of our new Woodridge series. Consumables revenues increased 25% to $31 million, supported by strong replenishment due to higher sell-through and new distribution at Walmart. Accessories revenues declined 24% to $60 million as negative sales growth at Meater was partially offset by increased sales of Traeger, Inc. branded accessories. By geography, North America revenues increased 11%, while rest of the world revenues declined by 39%. Fourth quarter gross margin was 40.9%, up 410 basis points year over year. The key drivers of margin expansion included supply chain cost favorability of 360 basis points, warranty expense improvements of 110 basis points, improved dilution of 90 basis points, and other benefits of 20 basis points. These were partially offset by unfavorable product mix of 170 basis points. Sales and marketing expenses were $34 million, up from $33 million in Q4 2023, primarily due to higher employee costs. General and administrative expenses were $27 million compared to $26 million in Q4 2023, driven by higher professional service fees, partially offset by lower stock-based compensation. Net loss for the quarter was $7 million compared to a net loss of $24 million in Q4 2023. Net loss per diluted share was $0.05 compared to a loss of $0.19 in Q4 2023. Adjusted net income was $2 million or $0.01 per diluted share compared to an adjusted net loss of $9 million or $0.08 per diluted share in Q4 2023. Adjusted EBITDA grew 41% to $18 million, up from $13 million in the fourth quarter of 2023. Turning to our balance sheet and liquidity, we ended the year with $15 million in cash and cash equivalents, compared to $30 million at the end of 2023. We ended the year with $409 million in short and long-term debt. Total net debt declined by $9 million year over year to $394 million. Cash flow generation remains strong, with cash flow from operations totaling $24 million, inclusive of a $15 million impact from a change in contingent consideration related to the Meater acquisition. From a liquidity standpoint, we ended the quarter with total liquidity of $165 million. Inventory at the end of the fourth quarter was $107 million, up from $96 million a year ago. We believe inventory levels are appropriately positioned on the balance sheet and in-channel to meet current demand expectations. I will now review our outlook for 2025. As Jeremy mentioned, our fiscal year 2025 guidance does not incorporate the impact of recently implemented or proposed tariffs. For fiscal year 2025, we are guiding to revenues of $595 to $615 million, representing a range from down 2% to up 2% versus fiscal year 2024, and adjusted EBITDA of $75 million to $85 million. Several key factors are shaping our revenue outlook. First, we expect low single-digit growth in grill revenues, balancing optimism around our brand and innovation pipeline against an uncertain macroeconomic environment and tough year-over-year comparisons. Second, consumables revenues are expected to grow, supported by recent distribution gains. And third, we anticipate continued pressure on accessories revenues connected to the forecasted performance of Meater. While we have strategic initiatives in place, we are taking a prudent approach given recent trends. On margins, we project gross margin in the range of 42.2% to 42.8%, with potential movement of down 10 basis points to up 50 basis points compared to fiscal year 2024. Benefits from supply chain efficiencies and improved pellet margins will likely be partially offset by a shift toward lower margin grills. From an operating expense perspective, we anticipate a step-up in employee-related cash compensation of approximately $7 million in fiscal year 2025. This increase stems from a shift in our compensation structure, moving a greater portion of incentive compensation from equity-based to cash performance bonuses for certain employees. Our overall compensation expense remains relatively unchanged. This shift negatively impacts adjusted EBITDA. However, we believe this realignment better reflects market practices and strengthens team incentives. While we are not providing specific first-quarter guidance today, we anticipate a year-over-year decline in revenues and adjusted EBITDA in the quarter. In closing, we made meaningful progress in 2024, highlighted by a positive inflection in grill revenues, gross margin improvement, and strong adjusted EBITDA growth. While we are cognizant of an uncertain economic environment in 2025, we believe we have positioned the business for long-term profitable and sustainable growth. The underlying drivers of value creation remain in place, and we are confident in our strategic direction. With that, I will turn it over to the operator. Operator?
Operator: Thank you. We will now begin the question and answer session. To ask a question, please press star followed by one. To remove your question, please press star followed by two. Again, to ask a question, press star one. And as a reminder, if you are using your phone, please remember to pick up your handset before asking a question. We will pause here briefly as questions are registered. The first question is from the line of Anna Glaessgen with B. Riley. You may proceed.
Anna Glaessgen: Hey. Good afternoon. Thanks for taking my question. I would like to start with the accessories business. I fully understand you guys are embedding a bit of softness here in 2025. I would like to expand a bit on whether you expect there to be an inflection at any point in the year, or would that be upside to guidance? Any thoughts there would be great.
Dom Blosil: It's a good question. I mean, at this point, we are not providing detailed quarterly guidance, and certainly, we would not provide that on a category basis. I think the general theme is that we are conservatively forecasting Meater under the current circumstances and based on how the business performed in Q4 in particular, which is their biggest quarter. I think I would reaffirm our confidence in the brand and the disruptive product that they sell, as well as their leadership position in the space. This reinforces our conviction and our ability to pull levers over time and sort of course-correct on what we are seeing in the softness, in addition to the fact we have levers that currently remain to be either unlocked or exploited by way of retail expansion, for example, as we think about a growing opportunity to drive what is currently a highly B2C business into retail. So there are certainly opportunities ahead, but as of today, we believe it's prudent to manage our guidance with a degree of conservatism around the trends that we are seeing in Meater.
Anna Glaessgen: Got it. And you noted, you know, one point of impact was elevated advertising spend around the election impact in Q4. Have you seen a normalization of return on ad spend as we've moved away from the election in Q1?
Dom Blosil: I mean, I think at a macro level, that's right. Unfortunately, the proof points in Q1 for Meater are not indicative of the future in part because, as we've talked about in the past, they deliver 50% or more of their revenues in Q4. So any insights we may gather in Q1, especially around advertising spend and ROAS, may not be the best proxy for Q4. And so, certainly, we will take those learnings over the next couple of quarters to inform updates to how we think about the year for Meater. But as of right now, it's just a little bit early to suggest anything other than what we are planning in the business.
Anna Glaessgen: Got it. And then just one more if I could. The commentary around Q1, is the decline largely related to expectations around Meater, or is that reflective of declines in the other segments as well?
Jeremy Andrus: No. It's reflective of multiple segments. I think in part because as we consider the sort of impact on demand as a result of tariffs, the pacing related to that and the revenue recognition associated with that pacing is going to create some challenges in predicting quarter-to-quarter how the year sequences. And so what we are sort of sticking to right now from a guidance standpoint is we believe it's prudent to consider Q1 down on top line as well as EBITDA. And then we are just not in a position to share sequencing across quarters for the year just given the uncertainty in how tariffs will sort of influence the pacing between quarters.
Anna Glaessgen: Got it. Thanks, guys.
Operator: The next question is from the line of Brian McNamara with Canaccord Genuity. You may proceed.
Brian McNamara: Hey, good afternoon, guys. Thanks for taking the questions. I guess first off, I'm curious about your view on the overall grill market in 2025. We've had three straight years of material decline. So what's your expectation for the industry overall? You've taken share the last couple of years. And, Jeremy, if you could just remind us where we are today, or I left it at 2019 levels. I think we're, like, 20% below, but just refresh my memory, please. Thank you.
Jeremy Andrus: Yeah. Hey, Brian. So first of all, as we think about the last three years, the pace of decline from 2022 until last year, it certainly appears that we have found bottom. 2022 was an aggressive sort of mid-high teens decline, high single digits in 2023. And then last year, we believe that the industry was flat to slightly up. Our expectation for this year has been that grills will grow modestly flat to up 1% to 2%. Of course, that forecast is many days old now. And so there are... it's going to take some time to understand the impact of tariffs on this industry. Our expectation is that we will see price increases. And I think whereas we should be getting into a more normalized replacement cycle for grills, just given the massive pull of replacement since the pandemic and the units that were pulled forward, we would expect to see some modest growth. Well, of course, we are doing business in a highly dynamic environment. And we are tracking it. I think it's important to note that Traeger, Inc. did gain share in 2024. We had a nice acceleration, notably from a unit volume perspective. During the promotional period, but I'd say especially in the fourth quarter, I highlighted in my comments that Black Friday was one of the highest volume sales days in the Traeger, Inc. brand history. And so in terms of relative to 2019, we still believe we are down somewhat meaningfully from 2019. And we believe over the next 12 to 36 months that the industry grows, begins to catch up with pre-pandemic levels, and, of course, there's a macro backdrop that we are also being sensitive to as well.
Brian McNamara: Great. That's helpful. Secondly, you guys had a lot of success with the ProSeries 22 last year at that sub-$400 price point. It was on promotion. I'm curious. How are you going to attack that lower price point in 2025 that served you so well? I mean, I know the Woodridge looks like a great product, but it's definitely at that higher price point. So I'm curious about your thoughts there. Thanks.
Jeremy Andrus: Yeah. So Woodridge certainly hits a price point, in a premium but accessible price point. We think it's very well positioned in the market from a value perspective. We did learn a lot about price point and access to a broader segment of consumers as we promoted the Pro 22 three times last year at $389. We had just an incredible response. It was a supply chain feat between our team and our retail partners to keep up with demand. But no question, the appetite for our brand beneath $500 was meaningful. And we have the ability to not only anniversary that this year but to ensure that we are fully in stock with our retailers. And we feel good about it. I think it really spoke to not only the demand for the brand but it spoke to the position of the brand. Where we promoted sub-$500, and there was a clear step function in volume in that price point. So we feel good about the learnings, and we expect to continue that this year. In the meantime, we also... I think if you compare the Pro 22 to the Woodridge, I think it allows us to access different customers. Very, very clear step up or trade-up story between the Pro 22 at $499 and the Woodridge, which is currently priced between $799 and $1599.
Brian McNamara: Great. And if I could just squeeze one last one in. Did you guys build any... I know inventories were up a decent amount in Q4. Did you build any inventory ahead of the inauguration in anticipation of tariffs given your China sourcing exposure?
Dom Blosil: No. I mean, what I would say is in Q1, we've been focused on bringing in as much inventory as possible ahead of anticipatory tariffs. The increase in inventory at the end of the year is really tied more to the Woodridge launch and the fact that there's continued load-in taking place ahead of peak season, which is just normal seasonal inventory moves within this business as you think about launching new innovation. I think the overarching theme here is inventory levels on our balance sheet and in-channel continue to be well balanced, and we feel confident in those levels. And you also have to consider how much drawdown there's been over the last handful of years, and we're sort of back into a normal working capital cycle where you invest in sort of drawdown over the course of a season, but within a range we're now sort of comfortable with. So you look at DII's, for example, they fit within kind of our normal plan, and they're in a good spot.
Brian McNamara: Great. Thank you very much.
Operator: The next question is from the line of Peter Benedict with Baird. You may proceed.
Peter Benedict: Hey, guys. This is Zach back on for Peter. Thanks for taking our question. Best wishes, Dom. Curious if you guys can quantify the benefit to Q4 grill revenue from the load-in of those Woodridge grills. And then just on the strength you guys are seeing during some of the holiday sale periods, it's been a couple of quarters now. Any changes to how you guys think about promotion either in 2025 or longer term?
Dom Blosil: Yeah. So I don't know if we can quantify specifically what the load-in was. I think what I can say is that it's not just Woodridge load-in. We did build in some of this coming out of Q4 knowing that we would be delivering on our Woodridge load-in in Q4. It did exceed expectations, but some of that capacity was unlocked due to the fact that our core line of grills in the market exceeded expectations from a sell-through standpoint, on the back of what continues to be a very high-performing promotion. So again, I think there's a balance between the two. Certainly, there's an uplift because of load-in. That's just normal again as part of the ebbs and flows of innovation cycles. But I think the underlying theme and a key underpinning to the performance is certainly around sell-through as well, and the fact that also contributes to added replenishment.
Peter Benedict: Gotcha. That's helpful. And then you guys have made some nice progress on deleveraging the past couple of years. Curious if you've communicated a longer-term goal here, and then maybe how are you thinking about free cash flow this year relative to 2024 and maybe CapEx versus debt paydown within that? Thank you.
Dom Blosil: Sure. On the leverage front, yeah, I think our long-term goal is to drive at or below three turns of leverage. I think we feel comfortable kind of within a range of two to three turns. You've clearly seen the progress we've made sequentially over the last couple of years, and that continues to be a main focus. We feel good with the progress we've made, but there's still some work to do to drive to those levels that we believe are appropriate and sustainable for our business. On the free cash flow side, I would say that one, we'd expect free cash flow in 2025 to be similar to, if not maybe slightly down compared to 2024. And that's really driven by the fact that there continues to be a need to invest in working capital. We're just in a new environment where, if you rewind to 2023, there was a massive drawdown in inventory that contributed meaningfully from a free cash flow standpoint in an abnormal way because we were cleaning up our balance sheet and in-channel inventory levels. Our working capital is now normalized, and so you'll see sort of investment/drawdown on a quarter-to-quarter basis. So I wouldn't expect anything out of the ordinary there in terms of a swing in one direction or another, save it's probably prudent to assume some degree of investment in working capital. That would be offset by CapEx. CapEx was sequentially down from 2023 to 2024. We think that it'll probably be flat to slightly down in 2025. We're sort of forecasting at the midpoint of our guidance similar profitability levers. So there really isn't a meaningful unlock there. So I think net-net, from a free cash flow standpoint, it should look similar to 2024, if not slightly down depending on where working capital lands for the year in your model. But, certainly, as we think about prioritization of excess free cash flow, we first and foremost consider debt paydown, in part in conjunction with the broader strategy of driving leverage down to that target goal in conjunction with EBITDA growth over time.
Peter Benedict: Great. Thanks, Dom. And then last one for Jeremy. You mentioned pursuing that large manufacturing partner in Vietnam as of last quarter. Just curious where those efforts stand today and maybe any insight into the timing there. Thanks, guys.
Jeremy Andrus: Yeah. Sure. So I would say, first of all, we've been manufacturing... this is our second global manufacturing partner who has a footprint in Vietnam, going well. I was there about six weeks ago. And look, this is... fortunately, we have been working on some diversification of our sourcing base outside of China for a few years. We have some partners who have the ability to scale nicely. Supply chain doesn't move quickly, but we've been working on that, and we'll be in production, mass production with that partner in this quarter. And so, we have options, and we continue to develop those options. And I think we're trying to really balance a dynamic environment, ensuring that the sort of shifting sands have settled before we make reactive decisions. So we're sort of focused on both those things, but fortunately, we do have about 25% of our grill production has been in Vietnam, and we have the ability to scale that up.
Peter Benedict: Awesome. Thanks, all. Take care.
Operator: The next question is from the line of Peter Keith with Piper Sandler. You may proceed.
Peter Keith: Hey. Thanks. Good afternoon. And, Dom, it's been great working with you. So wishing nothing but the best. I just think on Q1, I hate to ask a short-term question, but it seems like a super dynamic consumer environment right now. Maybe you could contextualize what you're seeing so far quarter-to-date with the negative revenue guide. Has there been, I guess, recent weakness in the last couple of weeks or anything that's more category-specific that you'd want to highlight?
Dom Blosil: Yeah. I think what I would highlight is just pacing. Right? We've talked in the past about a shift to direct import, for example. When you think about the dynamics across the value chain, as a result of the tariff news, you're working with multiple parties along that value chain. It can dramatically influence the timing of revenue recognition. So this is really more information around the fact that we can't really forecast pacing from quarter to quarter. I think we have a good point of view, ex-tariffs, on how we think about the full year. That's what we've guided to. It's just hard right now to put a stake in the ground on a quarter knowing that there can be some fluidity in how orders are moved and recognized from a revenue standpoint. And that's really the main driver to the not guide, but kind of the qualitative points we made on the call around Q1 specifically.
Peter Keith: Okay. I think that's an important distinction. So I guess interpreting that, have you seen any change in sell-through trends, or are those pretty steady and it's really just the timing issue?
Jeremy Andrus: Yeah. Again, we don't speak intra-quarter to sell-through, even at a directional level. So I would just leave it at my previous comment. Appreciate the question, though.
Peter Keith: Okay. Fair enough. Let's talk about international. So rest of the world down 39%. I think last quarter, you called out Meater. I guess just get us up to speed on what's happening with international because I think that's a nice growth opportunity for you, but the numbers suggest otherwise.
Dom Blosil: No. That's right. It really is a function of Meater. Meater does a significant portion of their business in the rest of the world. And so that just has an over-indexing influence on how we report the rest of the world. And so at the end of the day, it's just a function of the softness we're seeing in Meater, which is dragging the consolidated view on the rest of the world down.
Peter Keith: Okay. Alright. Fair enough. I'll leave it there. Thank you very much.
Operator: The next question is from the line of Megan Alexander with Morgan Stanley. You may proceed.
Megan Alexander: Hi. Good evening. Thanks so much. Maybe just a couple of follow-ups from me. The first, Dom, I think you mentioned you're guiding to or in your guide is an expectation for low single-digit growth revenue, and I think you called out kind of some puts and takes. One of which was tough compares. And I was just wondering if you could elaborate on whether that's a shipment or POS comment. I understand the shipment compare is hard, but I thought that was kind of more related to lapping some dynamics in 2023. But at the same time, you did lean into promotions a bit more in 2024. So I just wanted to clarify kind of what exactly the tough compare is that you're referring to.
Dom Blosil: In the guide. Correct?
Megan Alexander: Yes. That was your question? Yes.
Dom Blosil: Yeah. It's really two things. The first one is related to lapping what was an increased promotional approach to 2024. So we are lapping the promotions that benefited better growth specifically in grills over the course of 2024, especially in Q2 and Q4. So there is some lapping to that. We faced a slightly more challenging comp. And then the second element to that is just the Woodridge load-in. These are sort of one-time in nature before you enter into a more normal cycle of sell-through and replenishment. So that creates a slightly tougher comp in Q4 with respect to that load-in. So those are really the two main points.
Megan Alexander: Okay. That makes sense. And then on the direct import comment, I'm not... I won't ask about Q1 again, but I just want to make sure I understand exactly what you're seeing. Are you seeing less or fewer direct import orders from retailers than you have in previous years? I maybe would have thought you would be seeing more just given the fluidity of the tariff environment, and especially as we go into peak selling season. So is that kind of the read between the lines that retailers are pulling down direct import orders?
Dom Blosil: No. I think, again, it's just a function of the timing of tariffs and how we think about what that means from a pricing dynamic and how you think about that within the context of the impact it could have on a direct import partner. And so, again, it's less about what we specifically know in the moment and more anticipatory in relation to what we don't know to ensure that we're not committing to something that could shift dramatically the next day because this is such a highly fluid environment, and the entire value chain and the associated partners we have across that value chain are reacting in kind as well. And so we just believe at the moment sharing full-year guidance is the right thing to do, and we believe we have good line of sight into the core business, ex-tariffs. Again, it's just very hard to establish precision quarter to quarter, DI being one component of that. Right? If you have DI orders at the end of the quarter, and there's something that dramatically shifts the timing of that order and the window shifts into the next quarter, the size of these orders can be very influential to a specific quarter. And that just exposes us to pacing that may or may not play out based on what we know today. So it's really not a comment on how we think about the full year ex-tariff and more the fact that there's just really a lack of certainty as to how these orders pace given the fact that we plan our business early in the year as we budget. And it's a combination of direct import and many other things. And as we strategize with our retail partners, it may dictate a different approach to how orders pace. Really, that's the main point that we're making here is it's an uncertainty surrounding revenue recognition or timing of orders as we work with our retail partners to strategize through this tariff uncertainty, and we can't really provide more certainty or precision than that.
Megan Alexander: Okay. Thank you. That's clear and helpful.
Dom Blosil: Thank you.
Operator: There are currently no questions registered. So as a brief reminder, it is star one to ask a question. There are no additional questions waiting at this time. I would like to pass the conference back over to the management team for any closing remarks. Apologies, everyone. We have lost connection with the speaker line. Please stay on the line while we reconnect them. The call will resume shortly. Apologies, everyone. We have lost connection with the speaker line. Please stand by while I reconnect them. The call will resume shortly. Apologies, everyone. We have lost connection with the speaker line. Please stand by while we reconnect them. The call will resume shortly. Excuse me, everyone. Due to the disconnection, that will conclude today's call. Thank you for your participation, and enjoy the rest of your day.